Frederic van Daele: Good morning everyone and welcome to Delhaize Group’s Conference Call regarding our Second Quarter Results. Today’s presentation and discussion will include forward-looking statements and we want to caution you that such statements are predictions, and that actual events or results can differ significantly. Factors that may have a material effect on our business are detailed in the cautionary note in our earnings release and are contained in our SEC filings. The statements are made as of the date of this presentation, and Delhaize Group assumes no obligation to update this. Today we have the following people with us: Frans Muller, CEO of Delhaize Group; and Pierre Bouchut, CFO of Delhaize Group. During this call, we will first reflect on our first quarter performance, followed by a Q&A session. For those unable to stay on the call or wish to listen to it again, a replay will be available on the website. Frans, please go ahead.
Frans Muller: Thank you, Frederic. Good morning everyone and I would like to welcome everyone on this conference call where we discuss our second quarter performance. As I mentioned in the press release this morning, I am very pleased with the solid performance of all our businesses during this quarter. We are on track to realize our ambitions for the year. Slide three provides an overview of the highlights of the second quarter. At Delhaize America, we have been able to maintain consistent positive comparable sales store growth at both Food Lion and Hannaford. This is realized with strong real and volume growth as we experienced retail depletion for the quarter. This was more pronounced at Food Lion than at Hannaford. Despite a limited gross margin decline at the Delhaize America, our underlying operating margin increased slightly in the quarter, as a result of continued cost control. At Delhaize Belgium, we are encouraged by the trends in sales and market share. Although our market is still 30 basis points lower compared to the second quarter of last year, our market share is now 40 basis points above the fourth quarter of 2014 and 20 basis points above this year’s first quarter. Our UOP margin in Belgium remained stable versus last year, thanks to better supplier terms and lower logistics costs. Finally, our performance in Southeastern Europe was really positive due to good progress in comparable store sales in Greece and Romania and this despite the political and economic situation in Greece and in combination with positive operational leverage. Our UOP in Serbia was stable compared to the second quarter of last year. I’ll come back later to update you on our strategic priorities, to discuss the Greek situation and to comment on the merger we announced a little over a month ago. First, I’ll give the floor to Pierre to walk you through the Q2 results in a little more detail.
Pierre Bouchut: Thank you, Frans and good morning to everyone. Let’s now review our Q2 2015 and first half financial results. Slide 4 provides you with our summary Q2 income statement at €6.1 billion, our revenue increased by 18.1% at actual FX rates and by 3.2% at identical rates. Organic growth for the quarter also stood at 3.2%. Our gross margin reached 24.4% and increased by 9 basis points compared to last year at identical rates. The following elements explain this evolution. The 20 basis-point gross margin decline at Delhaize America relating to pricing investments and shrink and which was more than offset by 30 basis-point gross margin increase at Delhaize Belgium and 75 basis-point gross margin improvement in Southeastern Europe. Our SG&A stood at 21.2% of sales, the decrease of 13 basis points compared to last year at identical exchange rate. This decrease is the outcome of on the one hand, in the U.S. positive sales leverage and decreased benefits resulting in a 40 basis points decreased in SG&A at Delhaize America. On the other hand in Belgium the 30 basis-point SG&A increase mainly relating to increased depreciation and advertising costs. Lastly SG&A were flat in our Southeastern Europe operation. At €223 million, our Q2 UOP increased by 25.7% at actual rates and by 8.6% at identical exchange rates. Our UOP margin reached is 3.7% up 18 basis points at identical rates. We also had expenses this quarter which are not included in our underline operating profits, mainly €19 million cost related to the announced intention to merge with Ahold and an extra €9 million provision related to fine from the Belgium Competition Authority. When taking into account €43 million on net finance cost and €39 million of income tax, we recorded a Group share in net profit of €106 million compared to €45 million last year, which was impacted as you remember by €150 million impairment losses at Delhaize Serbia. Let’s highlight as well our solid free cash in the second quarter which amounted to €308 million. Slide five provides you with the same overview but for the first half of the year. Group revenues have increased by 17% at actual rates and by 2.7% at identical rates, up to €11.9 million. Gross margin increased by 6 basis points at identical rates compared to last year as a result of the stable gross margin in the U.S., a 30 basis-point decrease in Belgium and the 70 basis-point gross margin improvements in Southeastern Europe. Our SG&A as a percentage of sale stands at 21.5% and increased by 12 basis points at identical rates compared to last year and as a result of the 15 basis-point decrease of SG&A in the U.S. and increase of 55 basis points in Belgium, mostly due to negative sales leverage, while SG&A in Southeastern Europe remained relatively flat with costs related to expansion and lower project sales in Serbia. As a result, our underline operating profit was almost flat at identical rates and increased by 15.4% at actual rates, up to €396 million. The underlying operating margin for the first half was 3.3% a decrease of 12 basis points at identical rates compared to last year. When taking into account net other operating income and expenses of minus €50 million, a €139 million of net finance cost, €52 million of income expenses and the loss of €8 million in discontinued operation, we recorded a Group share in net profit of €134 million compared to €35 million last year. We generate the €200 million of operating free cash flow in the first half of the this year and we are on track to deliver our operating free cash flow target of €450 million for 2016 excluding the expected impact of the transformation plan cash out. Slide six shows the evolution of our EBITDA and underlying EBITDA. At identical rates EBITDA for Q2 has decreased by 5.6% while underlying EBITDA has increased by 5.9%. For H1, EBITDA has decreased by 7.5% while our underlying EBITDA has increased by 1.3% to €636 million. But as you can note at actual exchange rate, the strong progression of our EBITDA and underlying EBITDA is very encouraging. Our EBITDA for Q2 has increased to €357 million while our underlying EBITDA increased by 21.9%, up to €393 million. For H1 our EBITDA has increased by 7.7% while our underlying EBITDA has increased by 16.7%, up to €732 million. The following slide seven gives you more insight on the revenue evolution at Delhaize America of a Q2 and H1. In Q2, we reported same-store sales growth of 2.5%. While this number is similar to Q1, real growth has further increased and stood at 3.4% compared to 1.3% in the first quarter, actually retail inflation turned negative to minus 0.9 in this second quarter. Retail inflation was more pronounced at Food Lion than at Hannaford as a result of the underlying price investment. We have actually seen deflation being less pronounced in June, both banners recording positive real growth with Food Lion outperforming Hannaford. When taking into account a 70 basis-point calendar impact, our Q2 organic growth stands at 3.2%. Over H1 we reported same store sales of 2.5%. If you add up a 60 basis-point positive calendar impact and 10 basis-point impact from store opening, Delhaize America organic growth stands at 3.2%. Sale in Wilmington, where we have implemented the Easy, Fresh & Affordable strategy since last August, continued to perform in line with our expectation. Greenville, where the strategy was launched last November is more impacted by competitive openings as you know. Slide eight provides you with background information on our underlying operating margin evolution at Delhaize America. In Q2, we reported a UOP margin of 3.9% compared to 3.7% last year. This increase in our UOP margin is due to the following elements: Strong growth volume; lower labor cost as a percentage of revenue relating to decreased bonus accruals and lower healthcare costs; the timing of the 4th of July, which fell in Q2 last year -- this year, I’m sorry, but in Q3 last year and positively impacted our UOP margin by 10 basis points, of course this will reverse in Q3. Those positive elements were partly offset by the following points: Price investments at Food Lion for approximately 30 basis points; additional one-time costs linked to Easy, Fresh & Affordable compared to last year with the net impact of about 15 basis points; and additional shrink at Food Lion linked to the increased on fresh. Note that this year the pre-opening expense at Food Lion relating to Easy, Fresh & Affordable will be slightly higher than initially expected. We now anticipate them to be around $355,000 per store compared to $325,000 but they remain significantly below the $475,000 pre-opening cost incurred for the first to market down in 2014 as you know in Wilmington and Greenville. Concerning Easy, Fresh and Affordable, we continue to make progress on our targets for shrink and labor in our Wilmington and Greenville markets. For both markets combined, we have been able to reduce labor cost as a percentage of sales by around 30 basis points from Q1 to Q2 and a reduced shrink as a percentage of sales by around 60 basis points from Q1 to Q2 as well. For H1, underlying operating profit margin stood at 3.9%, showing an 8 basis-point increase compared to last year. Remember that Q3 of last year was positively impacted by the turmoil at Hannaford competitors’ market basket which boosted our sales by about €100 million and also positively impacted our UOP margin in Q3. The next slide nine presents Delhaize Belgium sales evolution. In Q2, Delhaize Belgium comparable same store sales decreased by 0.6% which is a major improvement compared to a 2.8% decrease in Q1. Our internal retail inflation became positive and stood at 0.6% for the quarter. With the positive 30 basis points from network expansion, Delhaize Belgium revenue growth stands at minus 0.3%. We are pleased by the evolution of our sales trend. While our Q2 market share was 30 basis points below last year Q2, we are encouraged with this evolution as the 24% market share level we reach in Q2 is 40 basis points above Q4 last year and 20 basis points above Q1 this year and is the highest level reached since Q2, 2014. Clearly this trend is encouraging to us, and we expect the second half of this year to show positive market share evolution in Belgium. As you can see, over Q1 our organic growth stand at minus 1.3% when adding minus 1.6% same store sales, a negative 10 basis point calendar impact and 40 basis points from network expansion. As shown on slide 10, Delhaize Belgium UOP margin stayed flat at 3.2% for Q2 as compared to last year. Several elements explain this. On the negative side, price investment and promotion for 140 [ph] basis points; two set [ph] higher depreciation relating to additional remodeling activity for 20 basis points and higher advertising expenses. On the positive side, higher gross margin despite price investment owing to better supply terms and lower logistic cost. We expect Q3 UOP margin to be impacted by additional advertising expenses and continued competitive market. In addition, note that in Q3 general we post lower margin. But we expect the recovery of our UOP margin in Q4. On slide 11, we provide you with a revenue evolution in our Southeastern Europe segment. Our same store sale for Q2 stands up plus 1.6% for the segment, the strongest performance in several quarters. Both Greece and Romania recorded positive same store sales and real growth where Serbia was slightly negative. Same store sales stood up 1.4% in Greece and in Romania same store sales were 6.3% as the decrease in the VAT on food from 24% to 9% since June 1st has had the positive impact on food spending in the country. Compared to the second quarter of last year, our market share has increased in the three countries. With the positive 40 basis points calendar impact and 700 basis points positive impact from store openings, our organic growth stands at 9%. For H1, same store sales of our Southeastern Europe operation was up 40 basis points. With the positive 30 basis points calendar impact and 670 basis points positive impact from store openings, the organic growth of our Southeastern Europe segment stands at 7.4% for this first half. On the following chart, we provide you a more details on the margin evolution for Southeastern Europe. Our UOP margin increased by 60 basis points from 3.9% in Q2 2014 to 4.5% in Q2 2015. The main drivers of this improvement are: First, an improvement in the gross margin for the segment driven by better procurement condition in the three countries and a reduction in low margin revenue in Serbia where we terminated transit operation over the course of 2014 and where our wholesale revenues also declined; second, the flat SG&A margin mainly resulting from good cost control in Greece and Romania while Serbia SG&A increased as a result of store expansion. Let me highlight that for Q2, UOP is increased by 25% in Southeastern Europe as a result of the significant increases in Greece and Romania while UOP in Serbia was almost flat. For H1, our UOP margin increased in Southeastern Europe by 50 basis points up to 3.4% with all countries improving profitability. Slide 13 gives you the comparison of operating free cash flow versus last year each time excluding proceeds from divestitures. For Q2 our operating free cash flow stands at €308 million compared to €82 million. This solid free cash flow can be explained by our strong EBITDA but also by the reversal of a number of elements which had negatively impacted Q1, such as €35 million due to the timing of the salary payment in the U.S., resulting from the impact of the 53rd week last year on biweekly salary payments and the implementation of SAP FICO in Belgium which temporarily prevented the usual offset between supplier payables and receivables for total negative free cash flow impact of €20 million. Note that the second quarter was also impacted by some positive timing elements, such as for example the impact of the 4th of July on our U.S. working capital and the capital control in Greece. We therefore expect those elements to reverse in Q3. Over the first six months of 2015, we generated €201 million of operating free cash flow compared to €128 million in 2014. This makes us confident to achieve our 2015 free cash flow target of €450 million excluding the transformation plan cash out. The following chart provides you with a waterfall analysis of our free cash flow generation at actual FX rates in this first half of the year. Over H1, our free cash flow generation has been mainly supported by the increase in our EBITDA by €30 million, improvement in working capital of €66 million, lower tax payment for €36 million mainly relating to the U.S and this have been partly offset by €52 million higher CapEx than last year, mainly as a result of our Easy, Fresh and Affordable initiative at Food Lion. Our operating free cash flow stands at €201 million of a H1. With the proceeds from Bottom Dollar divestiture for €40 million, our total free cash flow for H1 stands at €250 million. I now hand over to Frans to give you an update on our operations.
Frans Muller: Thank you very much, Pierre. Let me now provide you with an update on our strategic initiatives. Firstly, Easy, Fresh and Affordable at Food Lion. You know that we have been implementing significant changes for the whole banner of 1100 stores. To an important degree, these changes are focused on the assortment as we have restructured our center store assortment and are currently renewing our private brands portfolio. We’re also putting more emphasis on Fresh. This is all merchandised, sharper with competitive promotions and pricing. This is underlined by our announcement two weeks ago where we introduced new in-store signage in combination with some price investments. We clearly aim to maintain our sales momentum that we have created in recent years. Secondly, we are remodeling stores in the Easy, Fresh and Affordable concept. This program provides our stores with a new look and feel. This involves CapEx of around 1.5 million per store of which roughly half is maintenance. Last year, we have reformatted 76 stores in Wilmington and Greenville and in line what we mentioned in March, the sales response in the Wilmington market continues to be encouraging, whereas Greenville sees more impact from competitive store openings. In March, we explained that we were still running the stores with too much labor and shrink. Pierre already mentioned that we have made considerable progress and that this puts us in a good position when we will be re-launching the Raleigh market by the end of the year. We are currently on track with the remodeling program of these 160 stores. We have completed 58 stores and have closed 200 stores under construction. We are exactly on budget to spend $250 million of CapEx. During the second quarter, our stores in the Raleigh market continued to boast positive comparable store sales despite all the construction and remodeling work at the same time. I would say a great job done by the Food Lion and team. On slide 16, let me now provide you with an update on the transformation plan. In February, we finalized the restructuring plan for our Belgium operations. We aim to generate at least €80 million of savings by 2018 which we plan to invest in our proposition. We believe this will generate sustainable future for Delhaize Belgium. In March, 1,500 people signed up for pre-pension or redundancy package and this is part of the 1,800 departures that were agreed with our social partners in last February. At the end of May, 950 people had left the organization and the remaining 550 employees out of the first group of 1,500 people will leave later in the year. In the fourth quarter, we will hold second round for voluntary leavers to sign up. This should bring us up to 1,800 departures. We closed our Kortrijk-Ring store at the end of May and we plan to affiliate nine stores. We’re hopeful that we will have arrangement with four out of these nine stores still this year. At the beginning of June, we have implemented the new store organization in 26 stores. This implies having a lighter organization in the stores. Initial feedback is positive and we have started to prepare for a second wave of 27 stores. Looking at 2016, we are currently planning to accelerate the pace of remodels compared to the 16 stores that we had planned for 2015. Based on the four next generation stores we have planned with the results are seeing in produce, bakery, and meat and pleased with the progress made. These elements will be incorporated in our plans for 2016. All-in-all the execution of the transformation plan is on track at the moment. And with the gradual improvement in our sales trend, we are on track to meet our expectation for the year to post positive comparable store sales growth. I’d like now to spend a moment on our Southeastern European business. We have posted a strong performance in our Southeastern European segment. As already discussed, this was driven by a stable performance in Serbia and solid growth in both Greece and Romania. Before switching to Greece, I’d like to mention that our remodels in Serbia continue to do well. We have now 37 Maxi stores in a new UVP format and on average, we reported 15% sales uplift on our UVP remodels. For Southeastern Europe, we also have continued to gain market share in all three countries during the second quarter. Let me now provide you with some color on our Greek operations also in the light of what has happened in the last recent weeks. During the second quarter, the business has performed pretty well. We experienced an improvement in comparable store sales growth and Alfa Beta’s growth was in addition helped by store openings and store acquisitions. The business grew by high single-digits in the second quarter. Our profitability even grew faster as Pierre already explained. We have been running successful promotions during the quarter and towards the end of June the business experienced customers that started to stock up due to the announcement of the referendum anticipating on the economic uncertainty in recent weeks. We have seen a significant uplift in sales until the new agreement between the EU and the Greek government was signed. We have been relatively successful to continue running our operations as normal as possible despite the capital controls which are in place. In addition, we have to deal with extra challenges such as the restriction of paying international suppliers outside Greece as well as the recent implementation of higher VAT rates on certain food categories and the increased uncertainty that consumer has regarding her or his finances. However, we also believe that there will be interesting opportunities for the food retail sector. For example, it will be easier going forward to open on Sundays, easier to run discounts throughout the whole year and it will be allowed to sale OTC drugs and medicines in supermarkets. We plan to continue focusing on solid cost management in order to fund pricing and promotion plans and in order to continue gaining market share. At this stage, we do have the visibility to state that we are able to continue our first-half performance in the second half of the year disregarding the Greek markets. And now in a meantime on slide 18, as you know, we’ve announced on June 24 the intention to merge with Royal Ahold. I would like to briefly repeat the rationale for the merger. Firstly, the Ahold-Delhaize merger creates a leading international food retailer with high compatible portfolios of around 6,500 stores. Its enhanced skill allows us to innovate, realize synergies and act as a market leader to improve the overall value proposition, while maintaining our strong trusted local brands. Secondly, both companies share similar strategies and values and we believe the cultures of both groups are complementary, helped by the fact that both Ahold and Delhaize are putting the customer at the center at everything what they do. Thirdly, we believe that Ahold and Delhaize will be able to further enhance the customer experience by improving and enriching the customer offer, by providing more choice and value in products and services and also more ways to shop. Fourth, an important factor supporting the potential success of the combined Ahold-Delhaize group is formed by the continued support and engagement of our associates. We believe that the creation of a bigger, stronger and better and more capable company will result in even better place to work that is able to guarantee a long-term sustainable future with more exciting career and development opportunities. Finally, the combined group will start off from a strong financial foundation with significant cash flow generation and a solid balance sheet. Both will increase the financial flexibility which we plan to use for investing into future growth of the group as well as to continue delivering attractive returns to our shareholders. I would like to mention that both Ahold and Delhaize are currently working on completing the transaction in the first half of 2016. However, at this stage, I cannot update you on any milestones. By September, we will be able to provide you with a little bit more insight on the integration planning and how we are moving forward. We would therefore appreciate if today’s QA session will be focused on our Q2 results. Before moving to questions, we have summarized the outlook for 2015 on slide 20. The outlook has not changed compared to the one provided to you in April. We’ll remain focused on our two strategic initiatives which we have set for the year, the further rollout of Easy, Fresh and Affordable, and the execution of the transformation plan. At Delhaize Belgium -- at Delhaize America, we aim to maintain our solid sales momentum from the first half, while maintaining profitability levels, and as a result we aim to generate a level of operating profitability which is approximately similar to what we realized in 2014 excluding the 53rd week. In Belgium, we aim for a positive market share development and comparable store sales growth in the second half of the year. Finally, in Southeastern Europe, we plan to maintain the good momentum from the first halt. We continue to plan spending the €700 million CapEx and this is around €765 million at the current exchange rates. This should result in a healthy free cash flow for the full year, like in April we expect for the full year to generate the free cash flow of around €450 million. This excludes any transformation plan restructuring expenses which we previously estimated at €80 million. And now I would like to open up for questions. So please operator could give us instructions and lead the Q&A session please?
Operator: [Operator Instructions] We will now take our first question from Edouard Aubin of Morgan Stanley. Please go ahead.
Edouard Aubin: Just two quick questions from me on the U.S. So the first one is in the third quarter you will be cycling a blowout quarter you had last year in the U.S. So in order to help us modeling your performance this current quarter, Pierre, could you just come back on the comments you made on I think the benefit of the strike you had at competitor at Hannaford, I think you mentioned 100 basis-point, but if you can comment on margin as well. And also if you could come back, if you wouldn’t mind, on the impact of the reversal of the 4th of July this quarter. And my second question is regarding the fourth quarter, you mentioned that you’re going to be remodeling 160 stores in the Raleigh market. So should we expect any impact on your margin ex the pre-opening cost on that in the fourth quarter from this program?
Pierre Bouchut: What we said regarding market basket turmoil is that it impacted positively Q3 sales at Hannaford by about $100 million, so this is what we said. Second, we said that the impact of the 4th of July, which was last year in Q3 and this year in Q2, should probably positively impact our UOP margin in Q2 by 10 basis points and that of course this will reverse in Q3. These are the two elements that we gave during this con call. Regarding the question on the 160…
Frans Muller: The Raleigh stores and the pre-operating expense this kind of things, we already gave you a guidance for the full year for U.S. with the stable to flat UOP margin; and this is observing therefore also the Raleigh pre-operating cost.
Edouard Aubin: Okay, thank you.
Frans Muller: Which is 160 stores quite quiet an amount so, then you can also model your -- our operational performance.
Operator: Thank you. Our next question comes from Sreedhar Mahamkali of Macquarie. Please go ahead.
Sreedhar Mahamkali: Well, actually three questions now that I’m looking at my screen. Belgium, first question, you’ve talked about potentially stepping up marketing in Q3. If you could give us an idea what sort of an impact that might have? And also on price cuts, you talked about 40 basis points in Q2. Is that the sort of run rate we should expect for the second half which you think you might be accelerating in Q3? That’s first question on Belgium. Secondly, on Hannaford, just coming back to Edouard’s question, I don’t think you’ve said it, certainly from my notes, Q3 last year you didn’t seem to indicate there was a positive impact on UOP margins as a result of market basket, Pierre. But you seem to say in your remarks just now that UOP margin was positively impacted by market basket. If it was, can you give us an idea of what that might be, so we can actually put it into the models? And the last question, Food Lion in the U.S., you clearly seem to have made quite a lot of progress in shrink and labor. Can you give us directionally if these stores are now, the Easy, Fresh & Affordable stores are no longer dilutive or even maybe accretive to Food Lion margin, so where are they trading currently on a total UOP margin basis, please?
Pierre Bouchut: For Hannaford, actually $100 million extra sales add positive UOP impact in Q2 but relatively marginal UOP impact in H2 because of additional benefits, additional accruals on bonus which were taken in Q4. So altogether for the total Europe for H2 2014, the impact of the additional $100 million sales is estimated at the $2.3 million but the impact was slightly higher in Q3 with an additional provision taken in Q4 for bonus accruals. So this is the answer to your second question. In Belgium, I think that the price investment we have been making over the first half of the year is a good indication of the price investment we may be making in the second half but as we are telling to you, we think that market may become more competitive in the half of the year. And it is a part of our transformation plan to continue to invest actively in prices. And so will be either market is becoming more competitive, will make few further price investments in Q3.
Frans Muller: Yes, we gave UOP margin for Belgium of at least 2% for the full year. And I think we need a little bit more visibility, Sreedhar in the third quarter to see how the full year might end up in Belgium. We are very happy with the present customer count and winning customers back. We are very happy with the impact and attraction of our campaigning but I think it’s little bit too early and we don’t have the visibility yet to give a different figure than at least 2% UOP for Belgium for the full year.
Pierre Bouchut: Then regarding your last question Sreedhar, it’s a bit difficult to answer this last question and let me explain you why because Easy, Fresh & Affordable is made basically of two pillars, the global pillars where we do implement in our store a new assortment, more as you know focused of on fresh, a new way of working and in some specific stores, we have the remodeling impact and a new of way working. So as you see we have a very strong volume growth at Food Lion. We have the strong volume growth across the network. Of course the [indiscernible] stores are posting better same store sales evolution, in particular in Wilmington. In Greenville, as I mentioned it’s a bit more difficult because as you know we are facing more competitive openings on one hand and in Greenville is a market where we hold traditionally a very strong market share. So, if we compare today those stores in Wilmington and Greenville, it is dilutive on the operating profitability but don’t forget that a big part, had we not been putting in place the Easy, Fresh and Affordable in other stores, I think it would be accretive. I don’t know if my explanation is clear but this is it.
Sreedhar Mahamkali: If I can just try and come back, maybe another way to think about, the labor cost and shrink you said are down 30 basis points and 60 basis points sequentially. Is there more opportunity to kind of optimize things further?
Pierre Bouchut: Yes, we are not yet at the business case level we want to be, and we still have to work on it and I think the following quarters will continue to provide a positive evolution in that direction.
Frans Muller: Target at Wilmington at pro forma by the end of the year. And the second thing is that also the Raleigh stores will come much stronger out of the gates based on the learnigns of Wilmington and Greenville. So the great thing is that the Raleigh stores now as I mentioned despite all the construction and say more than 100 boxes at the moment open for remodeling is still most positive same store sales growth at this moment. Now we have good expectations from Raleigh going forward and on shrink and labor, and choosing the business model, they will learn from Wilmington and coming stronger out of the gate as from the start.
Operator: Thank you. Our next question comes from Xavier Le Mene, Bank of America. Please go ahead.
Xavier Le Mene: Two quick ones from me. The first one on the U.S. inflation, so you had actually deflation in the Q2. What are your expectation first for the market, but also then for your own deflation or inflation going forward in the U.S.? That will be the first question. Second one, I would have a trial, I know that you don’t want to comment about the merger or don’t want to comment about the timeframe. However, can you give us potentially some indication about whether you filed or not with the antitrust authorities already in the U.S. or Europe and if not, when do you expect to do that?
Frans Muller: So regarding inflation, we don’t want to elaborate about it. We don’t have a crystal ball for the coming month. What we see is that the deflation softened down in June, we mentioned that. So it’s a good element for our network and what we see as well is that the deflation and inflation evolution varies a lot from one part of the U.S. to another for the time being. Regarding the merger, of course, we start the filing; we -- both the antitrust bodies in Europe and in the U.S,, but it’s obviously too early to give you any precise indication on the expected plan table. I think we’ll be in a position to do that probably in the third quarter of this year or the end of the third quarter, early fourth quarter.
Operator: Thank you. Our next question comes from James Grzinic of Jefferies. Please go ahead.
James Grzinic: I have three quick ones. The first one, just to clarify that obviously the 2.5% comp store sales growth for Q2 excludes that 4th of July impact for the U.S. The second one, really trying to understand what your market share gain was in Greece in Q2, that’d be quite interesting. And lastly, I guess more from a principle perspective, if you are seeing your U.S. operational performance deviate considerably from Ahold’s, would you consider rethinking the terms?
Pierre Bouchut: 4th of July is excluded from the comparable view. Market share gain in Greece, Aurélie, maybe you can help us here with your charts.
Aurélie Bultynck: Yes, it’s above a 150 basis points Q2 versus Q2 of last year, so it’s fairly significant James.
Pierre Bouchut: Actually the winning supermarkets in Greece almost all fronts. And the last question James was on…?
James Grzinic: If you see your performance deviating from that of Ahold in U.S. between now and half one next year? Obviously there’s a few unknowns out there and particularly what happens with AMP, would you consider rethinking the terms?
Pierre Bouchut: We are not going to answer obviously to that question and it’s -- I think we put together a fair deal on the basis of what we knew each other at the time we decided on this deal. We don’t have any indication at this stage of significant deviation on their side or on our side. So there is no reason to address this question today.
Operator: Our next question ladies and gentleman comes from John Kershaw of Exane Paribas. Please go ahead.
John Kershaw: Just on the U.S, you talked to investing more in light of potential higher competition. I think you were talking more specifically Food Lion. Can you expand upon what you’re seeing there and how that marries up with your more recent -- your comment that inflation has returned or deflation abated in the last month or so. Secondly, can you give us a more -- you’ve previously given the charts of what sales uplift you are seeing in Wilmington and Greenville. Can you give us anymore color on the sales uplifts you’re seeing and perhaps what you might expect given the market dynamic in Raleigh? And finally, just talking -- remind me, I’ve got a memory like a sieve, but remind me you’re talking just to be clear of stable margins, I think you said stable profit earlier, stable margins in the U.S and that’s still after absorbing the 60 basis points of startup costs in the new Raleigh market to be clear?
Pierre Bouchut: Yes, that’s correct to answer your third question, we do expect the stable operating profitability and of course this will be absorbing the estimated of $50 million or so of pre-opening cost in U.S. don’t forget that we have had also pre-opening cost last year for...
John Kershaw: Yes, of course.
Pierre Bouchut: For Raleigh -- for Greenville and Wilmington. No, we don’t want to elaborate more than what we said about the performance of Wilmington and Greenville. Wilmington sales uplift is about in line with our expectation; it’s doing well. And I remember, I remind you that our business case provides for 40% same-store sales increase cumulated over five years. Greenville as we said, it’s below our original expectation but as you know and as we mention it right from the beginning, we are facing many store openings. If my memory is correct, in this DNA [ph]where we already had a very strong market share, we have had one [indiscernible] or four Walmart Neighborhood store or two Walmart super centers and so an of course it effects our market share. And regarding your first question, I’m sorry but Raleigh, the estimated Raleigh performance after the reopening of the remodeled stores, I think John for this is a slightly too early to comment on this but I think what is for sure the case is that we’ll come out better off the gates prepared than for Wilmington and Greenville, and this will especially also affect the margin and the UOP and the cost base on labor and on shrink.
John Kershaw: And just on the -- just the competitive backdrop, you’re talking to next, you’ve invested in new marketing campaign, further price cuts, you said expecting further competition in H2 and I think it was more Food Lion. Just can you expand on your thinking there and how that marries with your comments of a bit more inflation or less deflation as you exit the quarter?
Frans Muller: We set for Food Lion and Pierre commented on this that we emphasis a 30 basis points in price. We’d like to avoid that we are not price right, so we very specific on these also with our new Revionics modeling. That’s one thing. The second thing is that I think we should get more rewards for our performance in store and for our pricing proposition. That’s why we also put more efforts into campaigning and communication and that’s why a couple of weeks ago they went to complete new signing -- signage of and all our 1,100 Food Lion stores to make our customers more aware of our very competitive offers, both in quality but also in price and we expect also from this a positive uplift. On the inflation, Pierre, what is our status there?
Pierre Bouchut: What I said earlier i.e. we do not have any crystal ball to elaborate on inflation or deflation level in the coming six months. We saw a softening of deflation trend in June in the Food Lion markets.
Frans Muller: Which is perhaps for the same for the categories we talked about before dairy and meat and food and vegetable and produce.
John Kershaw: And just one very quick final one, the €450 million free cash flow; is that pre or post of the €80 million of one-off restructuring costs in Belgium?
Pierre Bouchut: It is excluding the potential negative impact estimated at €80 million of the transformation plan cash out, so it’s pre-80.
Operator: Our next question ladies and gentleman comes from Fernand De Boer of Petercam. Please go ahead.
Fernand De Boer: Two questions, one is on the Food Lion pre-opening cost I think it is primarily in Q4.
Pierre Bouchut: Fernand, we cannot hear you clearly would you come a little bit closer to mike please.
Fernand De Boer: Is it better now?
Pierre Bouchut: Yes it’s better, that’s quite loud now but quite better.
Fernand De Boer: Regarding the Food Lion, the pre-opening cost, you said primarily Q4, but if you read the press release of Food Lion itself, it says the remodeling are complete between April and October 2015, so how does that then work with the opening cost? That’s the first question. The second one is on Greece. You had quite good sales growth there. How much is that driven in your -- fuelled by your consumers building up stock in advance of the uncertainties regarding a potential great fit we saw in the second quarter.
Pierre Bouchut: Of course we have had strong sales uplift because of this phenomenon in Greece. But between ourselves, this phenomenon was mainly in the first weeks of July rather than bit at the end of June but all this turmoil in Greece took place in the first weeks of July and the last week of June. So it will consider to impact positively on July sales. Cash fund was good last week in Greece. We are of course prudent as of September with all the austerity measures being implemented, as you know the VAT increased; the additional income tax and so on. But of course, we benefited from this filing effect by the consumers during one week of June and two weeks of July also.
Fernand De Boer: Okay, and on Food Lion, the opening cost for the Raleigh market?
Pierre Bouchut: We are not changing the total magnitude, what we said is about $55 million for the full year. And of course a big part of it will be taken in Q3 and Q4.
Frans Muller: And the openings of the first stores, the first couple of stores started in April when the first remodelings were ready. And the last ones and the big bunch will come at the end of the third quarter beginning of the fourth quarter. In October we’ll have so-called grand opening of 160 stores in total. So, I think if you glad to calculate in your model, yes, we had trump openings in April but the majority of the cost will be back-loaded in Q3 beginning of Q4.
Pierre Bouchut: Yes because you know this -- I’m sorry is made of [indiscernible] which of course has been a second for the Europe when the stores are remodeled. But the big part of it, marketing, advertising expenses, the opening expenses as Frans just mentioned it and this will take place in the last part of the year.
Fernand De Boer: Maybe one last question is regarding your cash flow guidance. I guess that in your guidance earlier, Pierre, you did not include the cost for Ahold and also probably to fine. So could we actually conclude in that respect your cash flow is actually going better than planned?
Pierre Bouchut: Yes, the fine from the Belgium Competition Authority actually was provisioned up to a certain amount in Q1; the final amount of €9 million was accrued in our Q2 accounts.
Fernand De Boer: Is it extra €9 million.
Pierre Bouchut: Yes, the extra 9 million, extra and final. And yes, we started accruing for the expenses related to legal, bank, advisory, expenses in the -- of the merger with Ahold. So, we already accrued for €19. As we mentioned, the total expected amount of both companies, this was mentioned, would be combined Ahold Delhaize should be higher than €100 million. So you can take into account about 50% of this amount as far as we are concerned; this is our estimated stage.
Frederic van Daele: I think that was the last question. Thank you every one for participating in today’s conference call. Like I said at the beginning, a replay will available on the company’s website. If you have any extra questions, do not hesitate to contact the Investor Relations department. Delhaize Group plans to announce its third quarter results on Thursday, October 29. Thank you and have a nice day.